Operator: Good morning. My name is Steve, and I'll be your conference facilitator today. At this time, I would like to welcome everyone to Boise Cascade Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chris Forrey, Vice President, Finance and Investor Relations. Mr. Forrey, you may begin your conference.
Chris Forrey: Thank you, Steve, and good morning, everyone. We'd like to welcome you to Boise Cascade's Third Quarter 2025 Earnings Call and Business Update. Joining me on today's call are Nate Jorgensen, our CEO; Jeff Strom, our COO; Kelly Hibbs, our CFO; Troy Little out of our Wood Products operations; and Joe Barney, Head of our Building Materials Distribution Operations. Turning to Slide 2. This call will contain forward-looking statements. Please review the warning statements in our press release, on the presentation slides and in our filings with the SEC regarding the risks associated with these forward-looking statements. Also, please note that the appendix includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA and segment income or loss to segment EBITDA. I will now turn the call over to Nate.
Nathan Jorgensen: Thanks, Chris. Good morning, everyone. Thank you for joining us on our earnings call today. I'm on Slide #3. September 2025 U.S. housing starts data has not been released by the U.S. Census Bureau. However, when comparing July 2025 and August '25 housing starts to the same periods in '24, total U.S. housing starts increased 2%, while single-family housing starts decreased 3%. Our consolidated third quarter sales of $1.7 billion were down 3% from third quarter 2024. Our net income was $21.8 million or $0.58 per share compared to net income of $91 million or $2.33 per share in the year ago quarter. As expected, in Wood Products, we experienced sequentially lower sales volumes and competitive pricing pressure in EWP. Plywood markets like other commodities continue to experience weak pricing given the underlying demand environment. In BMD, our customers' expanded reliance on us for next-day delivery service across a range of products helped to mitigate the otherwise subdued environment. Given this backdrop, we were still able to post good earnings for the third quarter. We have great clarity in our business model and the strength of our financial position and unwavering commitment to our core values enable us to remain focused on the execution of our strategic priorities. Our 2-step distribution model in tandem with our market-leading EWP and plywood franchises will continue to deliver exceptional value to both our customers and vendor partners, providing reliable access to products, responsive service and operational flexibility that are vital in dynamic markets. Kelly will now walk through our segment financial results, capital allocation priorities and guidance on our fourth quarter results, after which I'll make closing comments before we take your questions. Kelly?
Kelly Hibbs: Thank you, Nate, and good morning, everyone. Wood Products sales in the third quarter, including sales for our distribution segment were $396.4 million, down 13% compared to third quarter of 2024. Wood Products segment EBITDA was $14.5 million compared to EBITDA of $77.4 million reported in the year ago quarter. The decrease in segment EBITDA was due primarily to lower EWP and plywood sales prices and sales volumes as well as higher per unit conversion costs that were influenced by decreased production rates in the quarter. In BMD, our sales in the quarter were $1.6 billion, down 1% from third quarter of 2024. BMD reported segment EBITDA of $69.8 million in the third quarter compared to segment EBITDA of $87.7 million in the prior year quarter. Gross margin dollars decreased $10.6 million from the third quarter of 2024. In addition, selling and distribution expenses increased $7.8 million from the year ago quarter, partly due to organic and inorganic growth initiatives we have executed upon in the last 12 months. Turning to Slide 5. Third quarter I-joist and LVL volumes were down 10% and 7%, respectively, compared to the year ago quarter. As expected, third quarter EWP volumes were down 15% sequentially as distribution and dealer partner inventories were drawn down to targeted levels with seasonal slowing anticipated. On a year-to-date basis, our I-joist and LVL volumes were down 6% and 1%, respectively. As it relates to pricing, competitive pressures drove sequential declines for I-joist and LVL of 6% and 5%, respectively. Turning to Slide 6. Our third quarter plywood sales volume was 387 million feet compared to 391 million feet in the third quarter of 2024. Sequentially, our plywood sales volumes were up 9% from second quarter 2025, driven by diverting less veneer into EWP production given the muted EWP demand environment and higher production rates at our Kettle Falls and Oakdale facilities. The $325 per thousand average plywood net sales price in the third quarter was down 2% on a year-over-year basis and down 5% compared to second quarter of 2025. We have to look back to second quarter of 2020 to find a lower average quarterly price realization in plywood. The longevity and levels of recent tariff announcements on plywood imports from South America remain in question and have yet to create any meaningful impact on plywood growth. Moving to Slide 7 and 8. BMD's year-over-year third quarter sales decline of 1% was driven by a 1% decrease in price and sales volumes were flat. By product line, commodity sales decreased 3%, general line product sales increased 6% and sales of EWP decreased 11%. Sequentially, BMD sales were down 4% from second quarter 2025, driven by a 2% decline in both sales price and volume. Our third quarter gross margin was 15.1%, a 60 basis point year-over-year decline. Commodity price headwinds and EWP competitive pricing pressures impacted our margins on these product lines. However, margins on general line products remained stable despite the subdued demand environment. BMD's EBITDA margin was 4.5% for the quarter, down from both the 5.6% reported in the year ago quarter and the 5.7% reported in the second quarter. Sequentially, our EBITDA margin was negatively impacted by a 30 basis point reduction in gross margins and decreased sales volumes had the effect of lowering gross margin dollar opportunity and deleveraging of our cost base. BMD's third quarter EBITDA margin is below our normalized level of earnings power, but a very good result given demand and pricing dynamics in today's marketplace. While these results reflect strong execution across product lines by our team, growth in our general line products has been a focus for us, where our proven performance and nationwide distribution capabilities enable us to provide a leading selection of general line products. The recent announcement with James Hardie is an example where we are happy to be expanding product offerings in several specific markets. At the same time, it's important to note that this announcement does not displace any existing market coverage we have with Trex. I'm now on Slide 9. We had capital expenditures of $187 million in the 9 months ended September 2025 with $99 million of spending in Wood Products and $88 million of spending in BMD. We remain committed to the capital plan presented earlier in the year with our capital spending range for 2025 at $230 million to $250 million. In Wood Products, that range includes the multiyear investments in support of our EWP production capabilities in the Southeast referenced on prior calls. The Oakdale modernization is complete, and we continue to make progress on optimization activities. Spending on the Thorsby line will largely be complete by year-end, and the line is expected to be operational in the first half of 2026. In BMD, part of our capital deployment strategy is to solidify and expand our market-leading national distribution presence. In August, we opened the doors at our greenfield distribution center in Hondo, Texas and are excited for the opportunity to better serve customers across Austin, San Antonio, Corpus Christi and the Rio Grande Valley. Looking forward to 2026, we expect our capital spending to be between $150 million and $170 million. Speaking to shareholder returns, we paid $27 million in regular dividends in the 9 months ended September 30, 2025. Our Board of Directors also recently approved a $0.22 per share quarterly dividend on our common stock that will be paid in mid-December. Through the first 10 months of 2025, we repurchased approximately $120 million of Boise Cascade common stock, which includes approximately $25 million in the third quarter and another $9 million in October. In addition, our Board of Directors recently authorized up to $300 million of common stock repurchases under a new share repurchase program. This new authorization replaced our prior share repurchase authorization. In summary, we continue to be dedicated to a balanced deployment of capital by investing in our existing asset base, by pursuing value-enhancing organic and M&A growth opportunities and returning capital to our shareholders. We are fortunate that our solid financial foundation and resilient free cash flow allow us to simultaneously advance each of these objectives. I'm now on Slide 10. Looking forward to the fourth quarter, demand weakness, trade policy uncertainties and the impact of seasonal factors will influence our financial results. Presented in the table are a range of potential EBITDA outcomes and related key driver assumptions. For Wood Products, we currently estimate fourth quarter EBITDA to be between breakeven and $15 million. We expect our EWP volumes to decline in the low double digits to mid-teens sequentially as the pace of starts moderates. EWP prices have recently stabilized, but we do expect low single-digit sequentially declines due to market adjustments previously taken in third quarter. In plywood, we expect sequential volume decreases at or near double digits. On plywood pricing, October realizations were consistent with the third quarter average with the balance of the fourth quarter market dependent. As is typically the case during the fourth quarter, we will take maintenance and capital project-related downtime across our manufacturing system and may also take market-related downtime to align production rates and inventory positions with end market demand. Important to note that although masked at seasonally weak demand levels, our number of site-specific cost improvement measures in Wood Products that when coupled with our division-wide innovation initiatives will benefit our EWP and plywood franchises into the future. For BMD, we currently estimate fourth quarter EBITDA to be between $40 million and $55 million. BMD's daily sales pace in October was approximately 5% below the third quarter sales pace of $24.3 million per day and is expected to decline further as the quarter progresses. Our recent volume changes have compared favorably to single-family starts data, a trend we would expect to continue and an indication of the 2-step value proposition and our customer partners' reliance upon us for next-day out-of-warehouse service. In addition to limited near-term clarity for end market demand, pricing volatility for plywood, lumber and other commodity products is likely given ongoing trade policy uncertainty and a number of recent capacity curtailment announcements. Lastly, we expect our fourth quarter effective tax rate to be between 26% and 27%. This is lower than our third quarter rate of 29%, which was adversely impacted by the effect of permanent tax differences on decreased pretax book income for 2025. I will turn it -- now turn it back over to Nate to share our business outlook and closing remarks.
Nathan Jorgensen: Thanks, Kelly. I'm on Slide #11. Now more than ever, our experienced team remains committed to creating value for our shareholders, customers and suppliers by staying resilient, adaptable and focused on delivering exceptional products and services. Our integrated model provides increased channel inventory visibility, enabling us to better navigate market uncertainty by aligning production rates and inventory strategies with end market demand. Cross-divisional efficiencies supported by our robust balance sheet allow us to maintain our dedication to executing our strategy and creating long-term value for all stakeholders. Early industry projections for 2026 are consistent with 2025 housing start levels. Demand expectations are characterized by a cautious market in the first half of the year with gradual improvement expected later in the year, driven by interest rate cuts and normalized homebuilder inventory levels. In EWP, our planning assumption is that prices have bottomed, and we will have an opportunity to move prices higher as 2026 progresses. The extended weakness in the residential market has highlighted the resilience of our distribution business. We have seen an increased customer reliance on our auto warehouse business across our full suite of products. As the uncertainty continues headed into 2026, we stand ready to continue to demonstrate the value of 2-step distribution. Looking beyond the near-term environment, we remain confident in the long-term demand drivers of residential construction, including the persistent undersupply of housing, aging U.S. housing stock and high levels of homeowner equity. Generational trends, including millennials and Gen Z reaching peak age for household formation and more seniors choosing to age in place continue to support household formation growth. Additionally, continued declines in mortgage rates should encourage buyers who have been waiting on the sidelines to enter the market. In the repair and remodeling space, activity has been limited by low levels of home turnover and homeowners delaying major projects due to high borrowing costs and economic uncertainty. However, we anticipate consumer confidence will improve as interest rates decline and economic policy becomes clearer, creating a long runway for growth in repair and remodel projects. Strong fundamentals for both new residential construction and repair and remodeling are the foundation for the industry's robust pathway ahead. And make no mistake, investments we have made in recent years have positioned us well to capture significant upside when the market turns. Thank you for joining us today and your continued support and interest in Boise Cascade. We welcome any questions at this time. Steve, would you please open the phone lines.
Operator: [Operator Instructions] First question comes from Susan Maklari with Goldman Sachs.
Susan Maklari: My first question is on the general line part of the business. Can you talk to the share gains that you are realizing in there? How you're working with the various partners in this kind of an environment? And what that suggests for your ability to continue to see growth next year even if housing and the macro stays more challenging?
Joanna Barney: Yes. So this is Joe. I'll start with that one. What I'll tell you is that demand held up really well with our general line product categories in the third quarter. Part of the reason, I think, is that we've made significant investments across our footprint in out of capacity, right? We've put really at most of our locations, we've added laydown space, we've added warehouse space. And we've done it intentionally so that we could bring in a broader mix of general line products, carry them on a deeper scale. Our suppliers that we work with, our key partners are consistently adding new products to their -- to what they bring to the market. And we want to make sure that we have the ability and the capacity to support their growth as well as support our own. So we've invested in that. We've also looked at bringing new products in the general line category to market. We've taken some risks there. We are -- have been focused on and achieved growth with our home center business, the special order business that we do at the home centers. So that's helped us with the general line categories. We focused on and grown our specialty dealer business certainly in third quarter. So that's been a focus for us. We've been successful at that. And we've grown in the multifamily category, and that's been a focus for us. As single-family housing starts have been flat or depressed, we focused significantly into the multifamily arena. We're going to continue to focus on the growth of our multifamily business in the quarters to come. And I would tell you that our -- we believe that our market share growth in certain general line categories that we think we've captured market share. There have been competitors of ours who have exited different product categories across the country, and they've left a void in the market as they've exited, and our teams have done a really good job of stepping in and filling that void and taking that market share. And so we expect now that we have that capacity, and we will continue to see that growth in the quarters to come. And then lastly, I think I mentioned our door and millwork business and the investments that we've made there, and we do continue to strengthen and improve our operations from a door and millwork standpoint as well as our sales growth and margin opportunities that we see there.
Susan Maklari: Okay. That's great color. And then maybe moving over to EWP. It's great to hear that you think that price there has bottomed and there's the potential for some growth next year given what we're hearing and seeing from the builders. Can you talk to the competitive dynamics that you're seeing with the EWP? What gives you that confidence on the pricing side? And any thoughts on the upside or downside to that, just given the affordability pressures the builders are facing?
Troy Little: Sue, this is Troy. I'll start with kind of what we're seeing -- what we've seen and what we're seeing this year and then turn it over to see if Nate or Kelly have anything. As we noted, we were down 5% or 6% quarter-over-quarter, and that was primarily due to 2 things. Early in the quarter, it was continued price pressure and matching competitive issues. And then the other one was we had the tariff of product we were shipping from U.S. into Canada. That was a 25% tariff, and we weren't able to fully pass that on. And then starting -- it looked like about August, the prices started to stabilize, and they continued to stabilize since that time, similar to what others have reported. So that's where we're seeing that maybe we've reached the bottom there. And then looking into Q4 and kind of how we started the quarter, prices have remained flat, and we would expect to continue that throughout the quarter as we don't have those other 2 issues as it appears right now.
Nathan Jorgensen: Yes. I think, Sue, it's Nate. Yes, I think Troy, yes, described that well. And I think as we think about 2026, I think the backdrop is setting up okay in terms of what the demand environment is expected to be. And I think we continue to get builders really insistent in a great way on cycle times. So that's been an area of focus for them over, as you know, over the last couple of years. And as we think about EWP, it's absolutely part of that answer to make sure that cycle times continue to be -- perform at a high level for the builders and they can turn that land into cash that much quicker. So again, I think it's set up well for next year. And to Troy's comments, we feel like we're at a bottom, and we can move higher here at some point in '26.
Susan Maklari: Okay. Great. Good luck with the quarter.
Nathan Jorgensen: Thanks, Sue.
Operator: The next question comes from Michael Roxland with Truist Securities.
Michael Roxland: First question I had is, obviously, just following up on the BMD question and the mix up in general line. As you think about margins in BMD, what do you think are the constraints as you see it in terms of generating even higher margins -- EBITDA margin that is, in terms of maybe high single digits or low double-digit type margins as some of your distributor peers currently are?
Nathan Jorgensen: Yes. Mike, thanks for the question. So I guess I would start with on gross margins for BMD near term here, we feel really good about our ability to maintain the 15-plus percent margins that we've been putting up of late. As you know, in markets like this, the reliance and dependency of customer base on out-of-warehouse service is certainly relevant. And again, we continue to see a good pull-through there. And then to your point, where might we go from here? Again, we continue to look to richen the product mix and that's more general line products, which do give us more gross margin opportunity. And at the same time, I don't want to discount our teams in terms of what we've been doing in terms of EWP sell-through and also commodities where we've been doing a really nice job in a really tough environment, in particular, in commodities. And with commodities at the very low levels that they are today, certainly, near term here, we -- if we get any energy in the commodity markets, we could see some near-term tailwinds in terms of our margin profile. And then I guess maybe one final point would be, as you know well, but I guess I'll just verbalize the fourth quarter as we see seasonally slower sales, as you'd expect to see, again, feel good about the gross margin percentage, but the gross margin dollar opportunity will come off as a function of just lower sales dollars.
Joanna Barney: So I'd jump in there as well and just say that as our general line business becomes a larger percent of our overall sales volume, and we have seen that happening quarter-to-quarter, that's room for margin improvement there. As we become better operators in our door and millwork investments and we have -- quarter-to-quarter, we continue to move in that direction. And as we become better operators and as we invest in our pre-finished business that brings higher margin opportunities to our business, as we bring our lead times in check, as we become better operators, we are finding that we are growing in the success in our millwork business, which will add to our margin opportunity. As we push into multifamily and make a broader push there, we're seeing more margin opportunity. And to Kelly's point, I would reiterate, we are pretty good at our commodity business. And we have a line of sight across the country. We've built systems in that make us really flexible and we are able to move quickly both into a rising market and into a falling market, so we can reduce and mitigate our losses in a falling market, and we can take advantage of opportunities in a rising market, and we do it really quickly. So I wouldn't discount our ability to make margin on commodities as well.
Michael Roxland: That's very helpful. Appreciate the color there, Joe and Kelly. Second question is realizing that you're beholding to the single-family housing market to some degree. Is there anything that you can do in this environment to further improve mill profitability? You highlighted a number of times how you're basically the mill -- because of the capital investments you made over the last couple of years, the mills themselves are ripe to generate significant profitability when single-family returns. But is there anything you can do now, additional cost takeout, other things that you can do that could situate the company for even greater margin expansion when the cycle turns?
Troy Little: Yes, this is Troy. I'll look at it from the standpoint of the cost improvement activities that we're doing at the mill level, that's something that probably has got muted in the third quarter and may continue to get muted with the lower volumes, market-related downtime volumes. But behind that, the operations have what we call our site improvement plans. And each of the locations are definitely working on a very detailed plan for 2026 to address our site improvement plans. We are making sure that we're filling all our process improvement positions. Those are support type functions, but instrumental in our process improvement to reduce our cost, increase our efficiencies. And then we also have our group working on innovation. And so we do actually have a couple of technology-type projects planned that we're looking at for 2026 and beyond. And all of those should help contribute to improving our cost structure at the mill level as well as just operationalizing the capital projects that we've had over the last couple of years.
Kelly Hibbs: So Nate, the only thing I would add to that -- to Troy's comments on cost is as you think about the market, to your point, single-family has been steady, not great. But I think the opportunity for us continues to be how do we continue to grow our presence in multifamily. And that's -- we're very good at that in terms of our EWP Key franchise. That's just, I think, an area of focus for us as we transition out of '25 and in '26, making sure that we create the right opportunities with the multifamily segment, and that goes really in some cases, beyond EWP, but it touches other product categories in BMD as well. So as we think about single-family, that's a big driver for our business, but multifamily is an important engine too, and that has our focus and resources as well. And I guess as Nate...
Michael Roxland: Got it. And...
Kelly Hibbs: Sorry, Mike, maybe one thing I'd add to both Troy and Nate's comments would be we've been trying to be very thoughtful in terms of not making any knee-jerk or quick reaction that we may regret later, right? I mean we feel still good about the medium to long term. And so we really need to be thoughtful about how we manage our capacity, including our crews so that when the market turns, we don't get caught behind the curve. So that always has to be part of our nuclei, our algebra, if you will.
Michael Roxland: Kelly makes a ton of sense. And just one last one, I'll turn it over. Where you said growing presence in multifamily. Can you just remind us right now where that presence stands currently in multifamily, whether it be maybe through EWP or if you want to talk about the whole portfolio and where you expect it to be, let's say, in 2026 and maybe provide like a 5-year outlook?
Kelly Hibbs: Yes. So it's not a large part of either of our businesses today. I don't have a number right at hand, probably, Mike, but we're probably in the -- we're probably -- single-family is still the big driver for us in terms of -- it's probably 75% to 80% of our business. And then we're probably something like 10 and 10 there between home center channel and multifamily.
Operator: The next question comes from Kurt Yinger with D.A. Davidson.
Kurt Yinger: Troy, I just wanted to go back to the discussion around competitive dynamics in EWP. And if I heard you right, you kind of talked about a stabilization kind of coming through in August. Can you maybe just put a little bit more color around that? Is that less dealer and builder business being put to bid? Is that maybe a little bit more of a balance in terms of the trade-off between pricing and volume? What do you think was really the catalyst there to kind of reach the stabilization?
Troy Little: Yes. I think as the markets started slowing coming out of Q2 and into Q3, there was capacity available. And so I think there was room to move on price in the industry and people were out there trying to preserve and/or grow share as things came off. We continue to see that for several quarters now. And I think we just got to the point where we addressed the markets where that was necessary for us to maintain our volumes. And we were able to do that by and large. And now we're in a position -- the costs have come up during that time and now prices moved to a point where I think the industry itself is in a position where there's not a lot left there to go. And so now it's just kind of the seasonal impacts as we kind of finish out the year. And so right now, we're just seeing that less of a pressure as people have adjusted production to the demand.
Nathan Jorgensen: Kurt, it's Nate, maybe just to add to Troy's comments is as you think about the fourth quarter and as we head into the first quarter, working capital is always a focus for our customers. And so in EWP, but all product categories, having world-class distribution and support EWP really matters as that next-day service is important on EWP, and we have seen that we'll continue to see that going forward. So as we think about the competitive dynamics, volume and price, having world-class distribution and support EWP really matters in these moments. And so we feel good about how we're set up there to execute to that standard as we close out 2025 and head into 2026 as well.
Kurt Yinger: Okay. That's super helpful. And it sort of ties into my next question. I think realistically, right, like pricing is difficult to predict, but a lot of it comes back to single-family activity. But it does seem like channel inventories are lean. Is there a scenario where seasonally we get into the spring period next year? And even if structurally housing activity isn't significantly stronger, you feel like there could really be some tension there in the market just based on what you see in terms of your customer inventories at this stage?
Nathan Jorgensen: Yes, Kurt, it's Nate, I'll start. To me, the channel, I think, is really well balanced in terms of inventory levels and kind of that risk reward, both on demand and anything else. And so I think people are positioning as we close out this year and head into next year, I think the marketplace, if there's demand that shows up that's somewhat unexpected or there's maybe a supply disruption, to your point, Kurt, I think there could be maybe some different urgency in the marketplace that we haven't seen for a period of time, which would include price, I think, as part of that. So I think to me, the backdrop is, I think, set up well because it's -- there's not a lot of excess that needs to get worked out of the system. And to your point, it all it takes is a maybe a demand event we weren't expecting or a supply event we weren't expecting on the downside to kind of quickly kind of tension things up in the marketplace. So I think it's set up well, not perfectly, but I think we're -- as we think about 2026 and I think about the homebuilders, they've been pretty active in working their new home inventory levels down. That's been an area of focus for them for a period of time. And as we transition into maybe 2026, Kurt, at some point, a new home sale has to equal a new home start. And we haven't been in that kind of math for a period of time. And so I think in '26, that gets a better balance as well. So I think it's just shaping up to have more normalcy than we've frankly experienced for the last year or so.
Kurt Yinger: Yes. That all makes sense. And then lastly, I just wanted to go back to the door and millwork performance. Can you just talk about, I guess, the sales performance thus far in 2025? And as some of these new facilities get up and running, is that something where you would expect even in a tepid demand environment, just given the capacity that you have and the focus there that you could really drive a healthy amount of kind of above-market growth? Or how dependent on that is underlying demand from here?
Jeff Strom: Kurt, it's Jeff. I'd say overall, it's -- millwork has been challenging this year with the price pressures and everything else. There's no ends about that. However, we have a lot of new facilities, and we have a lot of new locations that we're working into this business. And every day that goes by is the day that we get better and we improve and we get the right people in place and the opportunities that's there. So we're definitely expecting to see more growth regardless of what the market does just because we're going to operate significantly better. Additionally, we have some locations that are constrained space-wise, and we are addressing those. So we're excited for what the upside is for us on the door business for sure.
Kurt Yinger: All right, okay. Appreciate all the color, guys.
Jeff Strom: Thanks, Kurt.
Operator: The next question comes from George Staphos with Bank of America Securities.
Bradley Barton: This is Brad Barton on for George. Just if we go back to the AZEK announcement, when we think about the genesis of the deal, can you just talk to the puts and takes that you were considering on the move? And then did AZEK come to you? Did you go to them? And then how do you kind of see that impacting your Hardie lineup in those specific markets and maybe even across the whole network as well?
Joanna Barney: Yes, I will start with that one. So let me just first say that we are very excited about the opportunity to partner with Hardie in the Baltimore market. It's a big decade market. So we see it as a big opportunity. We have not had in a decade in that market before. So this is net new revenue for us. It's not a revenue shift from a different product category. We haven't has it. So this is net new revenue, and it's a big opportunity for us. So we're excited about that. We're excited about the full suite of products that we're going to be able to offer in that market. So we see a lot of upside revenue potential for us, specifically to the Baltimore, Pittsburgh market. Saying that we also have grown our market share with Trex across the country. So we've done really well with that brand. So our plan is to continue to support both partners, continue to grow our market share as we have in all of those markets across the country.
Bradley Barton: Okay. Great. And then you -- I guess one follow-up, and I think you guys touched on this a little bit, but are there any kind of -- any signs that you're seeing early in the quarter that you can kind of point to as signs of life or green shoots, not just for the remainder of the quarter and into next year, but maybe even for the spring building season?
Jeff Strom: Yes. It's Jeff. I'd just say one thing that we are seeing and experiencing is that there have been some green shoots in the multifamily space. And we're seeing some activity. We're seeing a lot of quoting that's going on. We have some projects that we know that are going to kick off to get us through the balance of the year and into the beginning of next year. So we feel good about that.
Operator: The next question comes from Jeff Stevenson with Loop Capital.
Jeffrey Stevenson: How much of an impact did the operating inefficiencies related to the ramp in production at your Oakdale facility have on Wood Products margins in the third quarter? And will that continue to be a drag on segment margins over the next several quarters?
Troy Little: Yes. This is Troy. Yes, it's a little bit hard to tell because we've had that market-related downtime in there. But that team has been trying to work on all the machine centers, when we essentially touched all the machine centers. And so honestly, working through that, which I would describe as the operational issues coming out of a large project that they've been working through in the third quarter. So we didn't see a huge difference specific to Oakdale, say, Q3 impacts versus the first 2 quarters. But moving forward, we would expect them to continue to improve their operating efficiencies, lower that cost structure. That was a high-cost mill before. Once we get that capital in there or working, we should see the improvements there. I'd hate to put a number on it because I don't know the specifics. And then we have -- you're moving into Q4 seasonal issues. You've got the shorter months in November and December and then any market-related downtime, it's going to be dependent on what that looks like specific to Oakdale.
Jeffrey Stevenson: Got it. Got it. And then over the past year, you've announced multiple expanded partnership agreements to strengthen your distribution relationship with key suppliers and the most recent one, obviously, is James Hardie. And I wondered if you could talk more about how these agreements have better positioned the company's general line distribution business moving forward and whether there could be additional opportunities to expand partnerships with other key suppliers.
Joanna Barney: Yes, I'll start there. I think we're always looking for opportunities to expand partnerships, but we're also very focused on the partnerships that we've got and the new products that they bring to market. Trex is a great partner for us. We've grown market share with them. We're going to continue to grow market share with them across the country. Hardie has been a great partner for us in siding across the country, and now we're exploring a new opportunity with them in the Baltimore market. Again, I'd just reiterate, it's a significant decking market and that we haven't had that category before there. So looking at that, we're looking at new partnerships as far as doors and millwork go. So we are always absolutely looking to expand. We've added the space and the capacity to do it. So we are going to continue to look into whatever partnerships we have available that we think we can generate sales growth, revenue growth and margin growth.
Jeffrey Stevenson: Makes sense. And then one last one, just on how you're planning to balance M&A with share repurchases moving forward given the market pullback. Would you expect to be aggressive with the new $300 million share repurchase program?
Kelly Hibbs: Yes. Jeff, I'll take that one. So I guess just stepping back briefly, our priorities are very much the same in terms of capital allocation in priority order, invest in our existing asset base, look to do organic growth projects and then also M&A if the fit and the price is right. But I would say, absent any meaningful M&A, we would expect to continue to be active with share repurchases here moving forward.
Jeffrey Stevenson: Got it.
Operator: [Operator Instructions] The next question comes from Reuben Garner with Benchmark.
Reuben Garner: Let's see. So if I'm doing the math right, and I know you didn't explicitly give top line guidance, but it looks like the distribution segment's EBITDA margin is going to dip into the 3s for the first time in a while. The third quarter was obviously lower than the second. And I get that there's some seasonality. How should we think about what's going on there? Like has competition picked up? Where do we think that things will stabilize? And how do we think about next year, assuming that the housing market in general is kind of consistent with what we've seen of late?
Kelly Hibbs: Yes, good question. And I guess I would start with saying this isn't a market share degradation or anything like that. I feel really good about how we're positioned and how 2-step distribution shows up in these sorts of markets. So really, what's embedded in the guidance really is really truly a function of just seasonal slowing that we expect to see. November and December, you got -- you've only got 18 sales days in November and 21 sales days in December, you got weather. So you've got some seasonal events. So yes, could we dip into the high 3s in terms of EBITDA margin? Yes, sure, we could, just given the seasonal nature of it. But I wouldn't -- I would not pull back from what we view as the -- when we get to a normalized cycle over a normalized year that we can be -- it can start with a 5% in terms of our EBITDA margin. So I feel really good about how we're positioned there, Reuben. It's really just a seasonal event that you're seeing in the fourth quarter.
Reuben Garner: Okay. Great. That's really helpful. And then how do we think about -- it looks like your inventory, I guess, at the Inc. level, we don't have segments on that, but your inventory as a percentage of revenue ticked up the last couple of years. Is that a function of some of the investments in distribution and growing general line? Is that some kind of signal that you're optimistic about the market coming back as we get closer to '26 and you want to make sure you have the materials? Or is there some other factor driving that delta?
Kelly Hibbs: Yes, I think it's a function of the growth that we've done. We've added a handful of locations, including via M&A and via organic growth opportunities. And then it really comes back to our stated goal that we always want to be in stock and be able to serve the marketplace, especially in times like today. And so we feel good about our inventory position. We're not too heavy. I think we're in a good spot. And yes, and then we do feel good, obviously, about the -- here come back half of 2026, we are very well positioned if we start to see some more energy here in the spring building season in 2026.
Reuben Garner: Okay. Great. Good luck.
Kelly Hibbs: Thanks, Reuben.
Operator: The next question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Maybe to start with on the EWP side, Troy, I mean, your volumes in 2025 are still kind of higher than what it was in 2021, 2022 when housing demand was stronger. Can you talk about kind of what is driving there, whether there's some share gains or things that you are doing differently?
Troy Little: Yes. I'd say throughout 2025, in terms of looking for opportunities, we believe we have some share gains that we're trying to maintain. Our order files throughout Q3 comparatively were lower but consistent throughout the quarter. And as we move into Q4, other than the seasonality around that, it still seems to be fairly consistent in what we've seen so far.
Ketan Mamtora: Okay. Got it. And then just switching to the distribution side, really nice to see that growth in general line. You talked earlier about sort of doors still being under some pressure. Can you talk about sort of what is -- where you are seeing sort of growth in the general line business?
Kelly Hibbs: The question is where are we seeing growth in the general line business. You guys can take that.
Joanna Barney: Yes. I think we're seeing growth in the general line, again, market share gains in certain product categories, decking being one of them. So we've seen market share gains as some of our competitors or other distributors have exited different categories across the country, we've stepped in and filled those voids. And so we've seen market share growth that way in multifamily business. And I really think in the door and millwork side, we're starting to see gains, and we're moving forward, moving that capacity and our ability there forward.
Nathan Jorgensen: Ketan, it's Nate. Maybe just to add to Joe's comments. is that when you think about general line, and Joe mentioned this earlier, the new SKUs that are showing up and the SKU complexity that comes from our suppliers is something that we enjoy, we're really good at. And so we certainly have experienced that in '25, and we're expecting that in '26 as well. So as they bring out new products, that creates, I think, really an important opportunity and responsibility for us to not only serve our customers but serve our suppliers as well. So I think that's the other component on the general line that continues to play in our favor, and we expect that going forward as well.
Ketan Mamtora: Got it. No, that's helpful. I'll turn it over. Good luck.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Nate Jorgensen for any closing remarks.
Nathan Jorgensen: We appreciate everyone joining us on our call this morning for our update, and thank you for your continued interest in supporting Boise Cascade. Please be safe and be well. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.